Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Hudbay Minerals Incorporated First Quarter 2025 Results Conference Call. At this time all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, May 12, 2025 at 11:00 am Eastern Time. I will now turn the call over to Candace Brule, Vice President, Investor Relations. Please go ahead.
Candace Brule: Thank you, operator. Good morning, and welcome to Hudbay's 2025 first quarter results conference call. Hudbay's financial results were issued this morning and are available on our website at www.hudbay.com. A corresponding PowerPoint presentation is available in the Investor events section of our website and we encourage you to refer to it during this call. Our presenter today is Peter Kukielski, Hudbay's President and Chief Executive Officer. Accompanying Peter for the Q&A portion of the call will be Eugene Lei, our Chief Financial Officer; and Andre Lauzon, our Chief Operating Officer. Please note that comments made on today's call may contain forward-looking information and this information by its nature is subject to risks and uncertainties and as such, actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please consult the company's relevant filings on SEDAR+ and EDGAR. These documents are also available on our website. As a reminder, all amounts discussed on today's call are in U.S. Dollars unless otherwise noted. And now, I'll pass the call over to Peter Kukielski.
Peter Kukielski: Thank you, Candace. Good morning, everyone and thank you for joining us for today's call. Our strong performance in the first quarter of 2025 demonstrated the benefits of Hudbay's unique copper and gold diversification from our enhanced operating platform in North and South America and our resilience through effective cost control. This has allowed us to continue to generate substantial free cash flow and achieve industry-leading margins. Consistent execution across all three of our operations has delivered in-line consolidated copper production and better-than-expected gold production this quarter. We continue to benefit from strong and consistent mill throughput in Peru, higher grades and higher mill throughput in Manitoba and ongoing optimization efforts in British Columbia. We are extremely well positioned to deliver our full-year 2025 consolidated production and cost guidance. We also made significant progress in advancing our growth strategy during the quarter. We consolidated ownership at Copper Mountain to increase our exposure to a high-quality asset in a Tier-1 jurisdiction. And we are now fully permitted at Copper World, which once in production will increase our long-term copper production by more than 50%. We are executing our plan to continue to increase exposure to copper and gold and unlock significant value for all our stakeholders. Turning to slide three, the results in the first quarter reflect stable copper production, complementary gold production, and exceptional cost performance across the business. Consolidated copper production was 31,000 tonnes in-line with quarterly cadence expectations. Consolidated gold production was 74,000 ounces, exceeding our expectations for the quarter, primarily due to continued outperformance in Manitoba, which I'll touch on in a moment. We had another quarter of industry-leading cost performance with record low consolidated cash costs of negative $0.45 per pound and sustaining cash costs of $0.72 per pound. These costs significantly improved, compared to last quarter as a result of higher byproduct credits and strong operating cost performance across all business units, partially offset by planned lower production levels in Peru during the quarter. First quarter adjusted EBITDA achieved a new quarterly record of $287 million and represented a further 12% increase, compared to the strong adjusted EBITDA generated in the fourth quarter. Adjusted net earnings per share was $0.24 in the first quarter, representing a sharp increase from the fourth quarter as a result of higher gross margins from strong revenue growth on the back of higher realized copper and gold prices and strong unit cost control. We ended the quarter with $583 million in cash and cash equivalents including short-term investments. Our net debt was $526 million, maintaining our leverage ratio of 0.6 times at the end of the first quarter, in-line with the last quarter. Hudbay has successfully delivered seven consecutive quarters of meaningful free cash flow generation as shown in slide four. This is a result of the benefits from recent brownfields investments, continuous operational improvement efforts, and steady cost control across the business. Over the last 12 months, we have generated more than $350 million in free cash flow and nearly $900 million in adjusted EBITDA. While the majority of revenues continue to be derived from copper, gold represented a higher portion of total revenues at 38% in the first quarter, compared to 35% in the fourth quarter of 2024. Our unique copper and gold diversification provides significant leverage to higher copper and gold prices. For every 10% increase in annual copper price, operating cash flows are expected to increase by an additional $100 million, and a similar 10% increase in annual gold price adds $56 million to operating cash flows. The unique copper and gold diversification, together with strong operating cost performance at all operations, continues to position Hudbay as the lowest cost copper producer among our peers. Our fortified balance sheet and robust free cash flow generation will allow us to continue to prudently reinvest in our portfolio of attractive high return brownfield and greenfield opportunities to drive near-term and long-term production growth. Now turning to our operating assets starting on slide five. Peru's first quarter production was in-line with quarterly cadence expectations as we are completing the final stripping phase at Pampacancha. Constancia produced 20,000 tonnes of copper, 8,000 ounces of gold, 550,000 ounces of silver, and approximately 400 tonnes of molybdenum. We are on track to achieve our 2025 production guidance for all metals in Peru. The Constancia mill achieved an average of approximately 90,000 tonnes per day in the first quarter, consistent with recent quarters and far exceeding original design capacity. Mill recoveries for all metals remained in-line with our metallurgical models for the ore type that was being processed. The operations delivered better-than-expected cost performance in the first quarter. Combined unit operating costs were $11.09 per tonne, a 27% improvement over the fourth quarter as we experienced lower overall on site costs and the previous quarter was impacted by a planned plant shutdown. Our unit operating cost performance continues to position Constancia as one of the lowest cost open pit copper mines in South America. Cash costs in the first quarter were $1.11 per pound, which outperformed our quarterly cadence expectations as a result of strong operating cost performance and higher by product prices. Cash cost outperformed the low end of the 2025 guidance range, positioning us well to achieve the full year cash cost guidance in Peru. Looking forward, we are advancing engineering studies for the construction of a pebble crusher at Constancia commencing in late 2025. This is expected to further increase throughput levels starting in the second-half of 2026. In Manitoba, we achieved impressive metal production and cost performance in the quarter as shown on slide six. This resulted in gold production and cash costs significantly exceeding our budgeted targets for the quarter. The operations produced 60,000 ounces of gold, a meaningful 17% increase, compared to the fourth quarter due to higher grades. The operations also produced 3,500 tonnes of copper, 6,300 tonnes of zinc, and 286,000 ounces of silver in the first quarter. We saw significant improvements in ore quality at Lalor, which aligns with the improvements in mining techniques we have been implementing, including long haul muck fragmentation and anticipated higher grade precious metal sequences. Recent enhancements at both the New Britannia and Stall mills have been contributing to the strong performance in Snow Lake. New Britannia achieved an average throughput of 2,100 tonnes per day in the first quarter with the installation of new elongated cyclones. This upgrade mirrors successful upgrades previously completed at Stall as we continue to look for low capital projects to boost throughput while maintaining strong gold recoveries. New Britannia gold recoveries of 90% were consistent with the fourth quarter. At the Stall mill, a slight quarter-over-quarter reduction in throughput occurred as we were able to divert more ore to New Britannia. The mill achieved gold recoveries of 70% in the quarter, realizing the efforts of our recent recovery improvement programs. The Manitoba operations continue to drive operating efficiencies, resulting in improved cost performance on both a unit operating basis and on a cash cost basis. Gold cash costs were $376 per ounce, a 38% decrease compared to the fourth quarter as a result of higher gold production, lower mining and milling costs and favorable exchange rates. We are well on track to achieve our production guidance for all metals and cash cost guidance in Manitoba in 2025. Moving to our third operating business unit on slide seven, our British Columbia operations benefited from ongoing optimization efforts in the first quarter. We continue to focus on advancing our optimization plans for Copper Mountain, including opening up the mine and optimizing the mine ore feed for the plant, as well as implementing plant improvement initiatives. This has resulted in increased total tonnes moved and improved mill reliability. The operations produced 7,000 tonnes of copper, 5,600 ounces of gold, and approximately 80,000 ounces of silver. Production of all metals increased, compared to the fourth quarter largely due to higher grades. We are on track to achieve our 2025 production guidance for all metals in British Columbia and we continue to expect higher production levels in the second-half of the year associated with the completion of mill improvement projects. On the mining side, we continue to execute the three year accelerated stripping program to bring higher grade ore into the mine plan. The focus in the quarter was on mining efficiencies and operator recruitment to effectively utilize the available haul truck fleet. As a result, total material moved is expected to continue to increase quarter-over-quarter in 2025 as per the mine plan. Mill throughput in the first quarter was similar to the fourth quarter, and a number of initiatives were implemented to increase throughput later this year. Additionally, with the planned conversion of the third ball mill to a second SAG mill in the second-half of 2025, mill throughput is anticipated to ramp-up towards 50,000 tonnes per day in 2026. The accelerated stripping efforts unlocked a higher grade mining sequence during the first quarter, which reduced the use of stockpiles for ore feed and enabled higher milled copper and gold grades in the quarter, compared to last quarter. Copper recoveries were 78%, and gold recoveries were 63% in the quarter. Similar to our other operations, British Columbia achieved strong cost performance. Cash costs were $2.44 per pound in the quarter, an improvement over the fourth quarter, as a result of higher byproduct credits and the realized benefits from ongoing optimization efforts. We are on track to achieve our 2025 cash cost guidance range in British Columbia. At the end of March, we announced the acquisition of Mitsubishi Materials 25% minority interest in Copper Mountain. The transaction closed at the end of April and resulted in Hudbay consolidating 100% interest in the Copper Mountain mine. This highly accretive transaction increases our exposure to a long life, high quality copper asset in a Tier-1 mining jurisdiction and demonstrates our conviction in the long-term benefits from our optimization efforts. It also reinforces Hudbay's position as the second largest copper producer in Canada. At the end of March, we released our three year production outlook with our annual reserve and resource update as summarized on slide eight. In Peru, annual production is expected to average approximately 88,000 tonnes of copper, and 31,000 ounces of gold over the next three years. This reflects steady copper production levels as higher mill throughput is expected to offset lower grades starting in 2026 after the depletion of Pampacancha in late 2025. In Manitoba, the life-of-mine production schedule has been optimized for higher mill throughput rates at New Britannia, maximizing gold production and cash flows. Snow Lake Annual gold production is expected to average more than 193,000 ounces over the next three years. We increased the gold production guidance in all three years, compared to prior guidance and the most recent technical report as a result of the continued impressive operating performance. In British Columbia, annual production is expected to average approximately 44,000 tonnes of copper and 28,600 ounces of gold over the next three years. Upon completion of Hudbay's optimization activities, 2027 copper production is expected to be 60,000 tonnes, representing a 127% increase from 2024. The 2027 copper production guidance is 20% higher than the contemplated production in the most recent technical report as a result of the deferral of higher grades from 2026 to 2027 with the current accelerated stripping schedule. Consolidated copper production over the next three years is expected to average 144,000 tonnes, representing a 4% increase from 2024. This increase is driven by higher copper production in British Columbia which more than offsets the depletion of the Pampacancha deposit in Peru at the end of 2025. Consolidated gold production over the next three years is expected to average 253,000 ounces with higher gold production levels in Manitoba, compared to prior guidance. These steady copper and gold production levels over the next three years will allow us to continue to generate meaningful cash flow to reinvest in our high return brownfield opportunities and our Copper World growth project. Turning to slide nine, Copper World is the most advanced greenfield project in our portfolio and offers significant copper exposure and highly attractive project economics. Copper World is a fully permitted project on private land and is expected to produce 85,000 tonnes of copper per year over the initial 20-year mine life in the first phase, the project generates an NPV of $1.1 billion and an after tax IRR of 19% at a copper price of $3.75 per pound. Copper World is one of the highest grade open pit copper projects in the Americas, with mineral reserves of 385 million tonnes at 0.54% copper. Once in production, Copper World is expected to be the fourth largest copper producer in the United States and will increase our consolidated copper production by more than 50% from current levels as mentioned earlier. Copper World will be a meaningful copper producer in the U.S. domestic supply chain, producing made in America copper cathode to be sold to domestic U.S. customers. In January of 2025, we received the final major permit required for the development and operation of Copper World. Since then, we have commenced the minority joint venture partnership process and have been focused on advancing feasibility studies to progress the project towards a potential sanctioned decision in 2026. We have several exploration opportunities as part of our long-term growth pipeline, including many promising targets in Snow Lake. Slide 10, summarizes the threefold strategy, we are executing with the largest exploration program currently underway in Snow Lake. The first goal is to focus on near mine exploration at Lalor and 1901 to enhance near-term production and extend mine life. At Lalor Northwest, follow-up drilling continued to intersect copper gold mineralization including 16.4 grams per tonne gold over 3.7 meters, as well as 2.6% copper over 3.5 meters. Our plans for 2025 include continued surface drilling at both Lalor Northwest and Lalor down plunge to test the extent of the mineralization. Additionally, we released positive step out drilling results at 1901 in March that intersected significant copper gold mineralization, including 14.3% copper over 2.5 meters and 8.3 grams per tonne gold over 3.2 meters. Further exploration at 1901 is planned for 2025, targeting additional step out drill holes to potentially extend the ore body and infill drilling to convert inferred mineral resources in the gold lenses to mineral reserves. The second strategic goal is to test regional satellite deposits for potential ore feed to utilize the available processing capacity at our Stall mill and further increase production. With our significant Snow Lake land package, we have an attractive portfolio of regional deposits including the Talbot, Rail, Pen II, Watts, 3 Zone and WIM deposits. And finally, the third and probably the most exciting goal is to explore our large land package for a new anchor deposit to significantly extend the mine life of our Snow Lake operations. We are conducting the largest geophysics program in our history in Snow Lake, consisting of 800 kilometers of ground electromagnetic surveys and an extensive airborne geophysical survey. Turning to slide 11, an important part of how we operate is in our commitment to earning trust and building transparency with communities near our operations. In Manitoba, our Indigenous Relations strategy has been effective in guiding positive relationships with first nations communities and advancing shared opportunities. As part of this strategy, we are very pleased to have signed two exploration agreements over the first quarter. Our first ever exploration agreement in Manitoba was signed with the Kiciwapa Cree Nation in February, reflecting our commitment to meaningful collaboration as we explore for new mineral resources in Snow Lake and Flin Flon. In April, we signed an exploration agreement with the Mosakahiken Cree Nation, marking a significant step towards building positive relationships on our projects in the Moose Lake region including the Talbot copper-zinc-gold deposit. We expect to commence a summer drill program at Talbot to potentially upgrade the existing mineral resource estimate. Additionally, in Flin Flon, we continue to advance tailings reprocessing studies to recover critical minerals and precious metals while creating environmental and social benefits for the region. An early economic study on the zinc plant tailings reprocessing opportunity has confirmed the potential for a technically viable reprocessing alternative, and we are progressing with further engineering work. In Peru, the drill permits for the highly prospective Maria Reyna and Caballito properties near Constancia continue to proceed through the regulatory process. The drill permit environmental impact assessments were approved by the government last year. The government is carrying out the remaining steps in the regulatory process and is targeting completion in 2025. Once we receive the drill permits, we plan to initiate an extensive 18 month drill program to test the potential of these properties that are located within trucking distance of the Constancia processing facility and provide significant growth potential for our Peru business. As part of our long-term pipeline of high quality growth opportunities, we also have the Mason Copper Project in Nevada. Mason is one of the largest underdeveloped copper porphyry deposits in North America and has the potential to be the third largest copper mine in the United States once in operation. The mine plan contemplates a 27-year mine life with an average annual copper production of roughly 140,000 tonnes over the first 10-years. We continue to advance our local stakeholder engagement as we advance additional metallurgical studies. While Mason is not as advanced as Copper World, Mason represents a significant opportunity to unlock value in a high quality copper asset located in the United States. Concluding on slide 12, Hudbay's leading copper development and exploration pipeline at low cost, stable operating platform in Tier-1 jurisdictions offers investors meaningful copper exposure, complementary gold exposure and strong near-term cash flow generation. We currently produce more than 130,000 tonnes of copper per year, which is further augmented by more than 250,000 ounces of gold per year, offering commodity diversification and cash flow resiliency in volatile pricing environments. We believe that copper has the best long-term supply and demand fundamentals in the sector, as global copper mine supply will be unable to meet demand from the global energy transition and AI technology needs. Hudbay's strong operating platform and resilient balance sheet offers significant upside potential for further value creation at higher copper and gold prices, and as we prudently advance our many high return copper growth opportunities. And with that, we are pleased to take your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question is from Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: Hi, good morning. Question around Peru and Constancia, the throughput that you've been operating at has been pretty impressive, close to 90,000 tonnes a day. Do you -- I'm just curious if you think that's sustainable moving forward or at what point do you see the ore hardness perhaps starting to bring that down?
Eugene Lei: Morning, Orest, thanks for the question. We've been super pleased with the performance in Peru. It's -- actually we've been pleased with the performance throughout the business in this past quarter. We are fairly confident in operating in Peru at the moment. We think that the results that we have are repeatable. But why don't I turn it over to Andre to give you a little bit more color about hardness?
Andre Lauzon: Yes. Hi, Orest. It's Andre here. Thanks for the question. So in the quarter, we did actually go through some harder material as well. There's some softer and harder material. What our strategy has been is we've been using pebble rejection since about mid-December when we get through the harder feeds. And even with some of those harder feeds, we're seeing -- I know you quote the 90,000 on average with those are with maintenance days, we're seeing an excess of some days over 100,000 tonnes per day. And we're very pleased with that. And so, what that does for us is, it allows us to test the limits of our flow sheet downstream, our flotation, our thickeners, our pumps, all of those in anticipation for the higher throughput when the pebble crushers come in. And so, to your question, the pebble rejection has been quite successful. We have the ability to reject probably about a 1.5 million tonnes of pebbles a year. And it has two benefits. The first one, as you mentioned, like you're seeing in throughput, but the other is on grade because the pebbles that we reject tend to be much lower grade, around 0.13 copper. And the remaining feed is bumped up and we replenished the feed through the SAG mills with much higher grade materials. So I guess in short, we're pretty comfortable in terms of what we've done to date, and we're going to continue doing that through the course of the year. And then as we -- Peter mentioned in the conference call that we're planning on putting pebble crushers in later this year that will further enhance our production going in 2026 and beyond.
Orest Wowkodaw: Okay. And as a follow-up, the changes to the Peru regulations that you can flex up throughput by up to 10%, what's the baseline for that? In terms of what that's being measured against?
Eugene Lei: Go ahead, Andre.
Andre Lauzon: I believe the final number, I don't have it in front of me, it gets up to, is it 20? Can you help me? I don't have in front of me, it’s -- it $24 million a year. We'll get it to you offline, the actual number, but it's -- I believe it's $24 million.
Orest Wowkodaw: $24 million -- baseline?
Andre Lauzon: Yes. We'll have to get back to you on that, Orest. I don't have it in front of me here.
Orest Wowkodaw: Okay, thank you very much.
Andre Lauzon: Yes.
Eugene Lei: Thanks, Orest.
Operator: The next question is from Matthew Murphy with BMO Capital Markets. Please go ahead.
Matthew Murphy: Hi. Just looking at the cost performance, strong costs in Q1 and maybe just starting on Manitoba. So Stall mill costs were down $10 a tonne, quarter-over-quarter. Anything funny in those numbers or can you talk about some of the optimization you're putting in place to achieve these costs?
Peter Kukielski: Good morning, Matt. Sure. I think we've been just really, really pleased with the level of performance of the Manitoba team. So they've been super disciplined in making sure that they continue to perform. They've done an incredible job at reducing mine dilution and maximizing ore recovery through continuous improvements in the mining process. I think that these operational improvements, when you combine them with the identification of additional high [Technical Difficulty]
Operator: Ladies and gentlemen, this is the conference operator. We've lost our connection with the main speakers' location and will rejoin it shortly. Please stand by. Ladies and gentlemen, the main speakers have connected with us. Please go ahead.
Peter Kukielski: Sorry about that, Matt. I was saying that the operating team at Lalor has done a really, really good job at reducing mining dilution and maximizing ore recovery to the continuous improvement processes at the mining site. In these operational improvements, when you combine them with the identification of additional high grade gold resources, have resulted in a pretty positive reconciliation of the order of 10% in contained gold that's been extracted compared to our reserve model in 2024. So I think, we're in pretty good shape to be able to replicate that. But Andre, would you add anything to that?
Andre Lauzon: No, nothing to add there, Peter.
Peter Kukielski: Okay, thank you.
Matthew Murphy: Okay, great. And then as another question, just interested in Pampacancha as you're stripping, are you seeing anything that's going to inform how far it goes this year or is it more or less as you expected in terms of what you're seeing in the pit?
Peter Kukielski: Matt, it is more or less what you expected. It's going to be depleted by December of 2025, and there really is limited ability to extend it beyond Q4, 2025, because the deposits are already well defined. But that said, Constancia is a super strong copper producer even after the depletion of Pampacancha. And it'll maintain the 85,000 tonnes to 90,000 tonnes of copper production levels in 2026 and beyond. And as the next satellite opportunity that we have is to explore Maria Reyna and Caballito. And those are highly prospective and located within trucking distance of Constancia. And they've got the potential to significantly increase production beyond the 85,000 tonnes to 90,000 tonnes per annum. So yes, short answer to your question is Pampacancha will be depleted in 2025. But we've got line of sight to something much better. And with the improvements that Andre talked about with throughput at the mine, we're very confident of our ability to sort of maintain production at the level that we're talking about.
Matthew Murphy: Okay, thank you.
Peter Kukielski: Welcome.
Operator: The next question is from Ralph Profiti with Stifel. Please go ahead.
Ralph Profiti: Thanks, operator. Good day, everyone. Peter and maybe Eugene, have you begun the process of prioritizing certain partnerships at Copper World narrowing down that list or are you still in the process of sort of widening and it's more of a fulsome analysis still? Specifically, I'm looking at notwithstanding today's interest in the gold price, interest from gold mining partners, has that come in proportion to the gold price or has that level of interest from that particular party been consistent?
Peter Kukielski: Thanks, Ralph. I would say that the JV process is progressing very well. We've received lots and lots of interest as you'd expect given the quality of the asset. And I think the fact is that permitted copper development projects in the U.S. are scarce, and permitted conversion facilities that will produce cathode copper from concentrate are non-existent outside of Copper World, so that layered on with the effect of gold prices resulted in an extremely robust process we've had tonnes of interest. And yes, certainly the gold parties have shown interest. I would not say disproportionately, it's nothing beyond what you would expect. But interest has been very, very strong and we're motoring along with the process as you'd expect.
Ralph Profiti: Okay. And then you have mentioned Maria Reyna and Caballito both in the Q&A and your prepared remarks, and I was just wondering if you -- if we can be a little bit more definitive on expected completion within 2025 of getting those permits and whether or not it's a stretch to expect certain results or some results within 2025 on drilling?
Peter Kukielski: Yes, it's a good question. So, if I back up a little bit, I think that you're aware that we had the environmental impact assessments for Maria Reyna and Caballito were approved last year. We then agreed with the Peruvian government to combine the permitting processes for both satellites so that the government could continue with the remaining regulatory steps, both properties simultaneously, which streamlines the approach may take a little bit longer, but it'll be more efficient and better for all parties. So what I'd say is, the process that remains right now is a government run process and we're being disciplined. We're not rushing it. I know, we know from our Pampacancha experience that sometimes it takes longer than you might expect. But the key right now is to let the government complete its process. We have been told that it'll be completed this year. We do know that these will be mines one day, and I think that we have the right approach in being patient. I believe that it's certainly worth the wait. With that said, I can't really define specifically when we would start drilling. It'll be literally as soon as we get the permits in hand, and we expect that, that will be concluded this year, but we can't rush the process.
Ralph Profiti: Thank you, Peter, for those important answers.
Peter Kukielski: You're welcome.
Operator: [Operator Instructions] The next question is from Dalton Baretto with Canaccord Genuity. Please go ahead.
Dalton Baretto: Thanks, operator. Good morning, Peter, team, and congratulations on a great quarter. Peter, I'm trying to understand Copper World Phase 2 in the context of sort of today's world, if you will. And I guess my first question is around permitting for Phase 2. Based on recent executive actions from President Trump. What can you do on Phase 2 permitting to bring it forward, if anything -- and what would it take to get Phase 2 on the Fast 41 track? Thanks.
Peter Kukielski: Sure. And thank you, Dalton, for those kind comments. I think the first comment that I'd make is that the permitting backdrop in the U.S. is very positive and constructive at the moment. So that said, your comment relates to Phase 2. I'll say that for Phase 1, it kind of doesn't make a difference because there's only state permits that are required and it's fully permitted. It does certainly help with respect to the idea of advancing Phase 2 a little bit earlier. It also adds to sentiment around Phase 2, which helps in the joint venture partnering process and it helps all around. I'd also add that it makes, it creates a lot more interest potentially in our Mason Project. With just respect specifically to Phase 2, the focus right now has very much to be on Phase 1 and getting that going. And one wouldn't really want to confuse the process of Phase 1 with Phase 2. So the time for advancing Phase 2 is not really now. The time is once we get going with Phase 1. The Fast 41 thing has been around for a long, long time. It goes to previous administrations and I think it creates a really good constructive sentiment in the space, but is not really applicable to the Copper World project. Andre, is there anything you would add to what I've said?
Andre Lauzon: No, I think you're quite clear. Right now the plan is the plan and we're happy with what the government's promoting, but there's no change in what we want to do right now.
Dalton Baretto: Great, thanks, guys. And then maybe just as a follow-up on the sort of financing side of Copper World, as you're going through the JV process, as well as maybe looking at renegotiating the stream, are you putting in mechanisms to build in value for Phase 2? And if so, how are you thinking about that? Thanks.
Eugene Lei: Hi, Dalton, it's Eugene here. Thank you for your question. I think as Peter outlined, there's lots of robust interest in Copper World as a project and that includes Phase 2. We're not going to negotiate with the JV over the conference call. So I think we're not at liberty to talk about what value we expect and what people are attributing to it. I think holistically, as Peter outlined, this is a multi-phase project with 1 billion tonnes of copper, the highest grade undeveloped copper deposit in the Americas with the lowest capital intensity, and that can go on for 20-years on private land and much more if we get into Phase 2. So I think there's value in this asset and we expect that parties will see that in the JV process.
Dalton Baretto: Great. Thanks, Eugene. I'll jump back in the queue.
Operator: The next question is from Bryce Adams with Desjardins Securities. Please go ahead.
Bryce Adams: Hi, I'm sorry if this was asked already. My call dropped, and I had to rejoin. But regarding the buyback program that was Board approved, if that's TSX approved, given your growth options, how does it fit into the capital allocation framework? How active do you expect to be and are there any guideposts for how that program could be used?
Eugene Lei: Hi, thank you for your question, Bryce. It's Eugene Lei again here. Regarding the NCIB, I think it really reflects the company maturing and we believe it's good practice for companies of our size to have an NCIB in place. Kind of like how we filed the base shelf prospectus last year. In the context of the transformed balance sheet, as you highlight, and on the positive end, and fairly volatile markets on the negative end. That's about -- that kind of result in some value dislocations. We're going to consider share buybacks as well as bond repurchases as part of our balanced capital allocation strategy to maximize risk adjusted returns. We are in a very strong financial position to prudently advance our many high return growth initiatives. And like the Copper Mountain optimization that Peter and Andre talked about, like brownfield projects both in expansion in Peru and Manitoba, and obviously the Copper World Development project. We have a long-term goal of providing meaningful shareholder returns in the form of sustainable dividends and/or share repurchases. And I think this NCIB filing is something that we would tend to file kind of for many years to follow and give us a facility to consider that holistically as we allocate capital across the platform and grow the company sustainably.
Bryce Adams: Thanks, Eugene. So it's good housekeeping, but not a priority. Is that the quick summary?
Eugene Lei: I think if we hadn't filed the NCIB, we don't have the ability to buy back shares, today we do and we'll evaluate that in the context of the opportunities that are available to us, understanding there are many high growth, high return growth projects. And so, I would say, we now can answer the question, we can buy back shares versus a month ago we would not be in a position to. And a year ago our balance sheet was in no position to. So I think it again reflects us maturing as a company and it's something that we would consider in the context of valuations as well as the opportunities for risk adjusted returns in our portfolio.
Bryce Adams: Okay, thanks, Eugene. Thanks, Hudbay.
Operator: And the final question today is a follow-up from Dalton Baretto with Canaccord Genuity. Please go ahead.
Dalton Baretto: Thanks for taking my follow up. Guys, just a quick question on Copper Mountain, just around new anchor belt. Can you just give us an update on sort of where that permitting stands and remind us when that deposit comes into the mine plan? Thanks.
Peter Kukielski: Sure. Andre, would you like to take that?
Andre Lauzon: Sure, sure. So the permitting process has been going very well. We've been working very closely with the regulators and the local first nations, the upper and lower smoking bands. The process went through initial screening. We just finished the -- what they call a concordance review, which is a process where the government has gone through and agreed that we provided all of the studies and it meets the criteria for what was required. And so, now they're going into a -- in simple terms, a regulatory review process. And so, we hope to be at a positive result by the end of this year or early into next and it's probably within a couple years that you'd expect to see that production and that's reflected in our guidance.
Dalton Baretto: Great. Thanks for that, Andre. That's all I have.
Operator: This concludes the question and answer session. I would like to turn the conference back over to Candace Brule for any closing remarks.
Candace Brule: Thank you, operator. Thank you, everyone for joining us today and thanks for your patience as we work through that little technical issue. If you have any further questions, please feel free to reach out to our investor relations team, thanks and have a great day.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.